Operator: Good morning, ladies and gentlemen. Welcome to BCE's Third Quarter 2012 Results Conference Call. I would now like to turn the meeting over to Mr. Thane Fotopoulos. Please go ahead, sir.
Thane Fotopoulos: Thank you, Dave. Good morning, everyone, on the call and on the webcast this morning. Joining me on the line today are George Cope, Bell's President and CEO; and Siim Vanaselja, our CFO. We released our third results earlier this morning. All the usual information, including the news release and the slide presentation for this call, are available on BCE's corporate website. Following a review of the slide presentation by George and Siim, we'll move to Q&A and answer as many of your questions as time permits. However, as usual, before we begin, I want to remind you that today's remarks will contain certain forward-looking statements with respect to financial estimates and other items. A number of assumptions were made by us in preparing these forward-looking statements, and there are risks, that our actual results will differ materially. So you should consult the cautionary language found in BCE's 2011 annual MD&A, as updated in BCE's 2012 Q1, Q2 and Q3 MD&As and in today's news release announced in our financial results for the third quarter of 2012. These are all filed with the Canadian Securities Commission, and with the SEC and which are also available on our website. These forward-looking statements represent BCE's expectations as of today, and accordingly are subject to change after such time. Except as may be required by Canadian Securities laws, we do not undertake any obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise, and I am making this cautionary statement on behalf of both George and Siim, whose remarks today will contain forward-looking statements. So with that, I'll turn it over to George.
George Alexander Cope: Great, thank you, Thane. Good morning, everyone. Thank you for joining us this morning. I'm on Page 4 of the presentation. I have to say that, clearly, the company had an excellent quarter from an operating perspective. The Wireless EBITDA growth of 15.2%, clearly a highlight of the quarter. Bell Media driving cash flow growth of over 80% year-over-year, our Wireline margin being held at 39%, driven through the cost reductions of $40 million year-over-year, and that's while we see the acceleration of Fibe TV, seen expansion in Bell's overall EBITDA margin to 38.4%, and most importantly, continuing generating the cash flow to support our dividend growth model with cash flow now up year-over-year, up 7%. Turning to Slide 5. Clearly, we are pleased with the accelerating growth in our RGU performance, with RGUs up 49,000, more positive than last year. And most importantly, total RGUs in the growth area of the company at 159,000, up from 112,000 last year, driven by the growth in Wireless, the growth in Fibe TV, the pull-through of the Internet, and I think also most importantly for us, we've seen an increase in triple-play households of 15% year-over-year. Turning to Wireless. Another very strong quarter for the company, 149,000 postpaid adds, up 17% year-over-year. I think one of the important highlights for us for the quarter is our lowest postpaid churn rate in 10 quarters, and for the first time, dipping under one of our major competitors. The ARPU growth story continues, as our mix of customers improves both from a smartphone perspective and from a geographic perspective. Our retention spending continues to be in line at about 10%, and it is best-in-class in the industry today in terms of percent of revenue spent. And even with this growth, we were able to support EBITDA margin expansion and our best Q3 in over 5 years. There's no doubt from our perspective, we outperformed our own internal expectations in terms of the quarter. The strategy, of course, is to continue to keep that up. Turning to the Wireline data side. The quarter there, really, was about Fibe TV, the growth to 43,000 net adds, helping improve our Internet net adds, seeing the pull through there starts to take place, as we had expected. Fibe TV ARPU, now at $60, up 13% year-over-year, and really, the clear -- the strategy there is really clear, which is just keep expanding the IPTV footprint because in markets that we have, Fibe TV, we end with obviously our Internet adds. We, quite frankly, are now seeing positive RGU growth in markets, including our NAS losses, but in markets that have IPTV coverage. So the strategy will be to continue to expand that footprint, and at our call in early 2013, we'll share with the Street that expanded footprint plan for 2013. On the data revenue side, the Fibe growth in TV revenue growth was, in essence, offset by lower product sales on the data side from a business perspective, and we continue on the overall business side to see softness in revenue so, in essence, year-over-year, the total data revenues were flat. Turning to Wireline voice. Again, we saw an improvement in residential NAS performance, which really reflects the benefits of the IPTV footprint. We definitely see significantly different results in our NAS reductions between areas where we have IPTV now where we don't, and so as I said, that investment in the footprints clearly the right strategy, and acceleration of that will be a key part of '13. Our residential NAS losses, improving 11% year-over-year, a positive. On the other side of the equation, the continue lack of business growth in Ontario and Québec, what we call new wins, continue to be down in the small medium business area, and in fairness, probably fair to say, a little more competitive intensity from the cable operators in that space as well year-over-year. Turning to Bell Media. Had a fantastic quarter financially. Advertising revenue, up 20% year-over-year, driven by our excellent coverage of the Olympics for Canadians, and also now seeing the flow-through of subscriber revenues as a result of -- including all the discussions on our specialty rate changes for the BDUs. It's also worth noting that the NHL lockout really had no material impact on our results in the third quarter. In terms of corporate development, it was clearly a busy quarter for the company. We closed the acquisition of MLSE, and strategically now with our investment in MLSE and the Montréal Canadiens and our investment in media assets. We believe we've lowered the risk profile in our media assets through those investments in these leading sports and entertainment assets. We also closed the Q9 acquisition and within that close, post-transaction, we settled the reverse break fee outstanding from the legal private transaction. In exchange for that settlement, we increased our ownership of Q9 for no additional consideration, and we also received a call option at a favorable valuation years out at a point where we would have a path to control. Most importantly, from a strategic perspective in the marketplace, Bell and Q9 combined, now lead the country in data hosting, with over 18 centers and new centers opening in different markets in Canada next year. In terms of the Astral transaction, clearly, very disappointed and surprised by the rejection of the transaction on October 18 by the CRTC. We have made a request to cabinet to issue a policy direction to CRTC to follow their policies. We continue to wait response on that. We have extended the Outside Date with Astral to December 16, with both of us having a right to postpone that date to January 15. That's all I'm going to say on that transaction today as we await our submission to cabinet -- a response to our submission to cabinet. And finally, turning to Page 11. I thought investors would find this slide helpful, certainly, in terms of our focus on our strategic imperatives now truly starting to pay off from a revenue mix perspective. 81% of our revenues in the quarter were off of our growth portfolio, and if you exclude the NAS and Wireline voice decline, we saw 5% revenue growth in the growth areas of the organization. Another important milestone is the Wireline voice now represents less than 20% of Bell's total revenue. I thought you'd find it -- what's also, where we're under obviously the most pressure on the local access side and in the consumer business because of Wireless substitution, and consumer Wireline local access revenue now represents less than 7% of our revenue stream. So the transformation of the business continues. The growth portfolios continue to contribute more, and that again bodes well for the continuation of our dividend growth strategy we've been on the last 4 to 5 years. With that, let me to turn it over to Siim.
Siim A. Vanaselja: Thanks, George, and good morning to everyone on the call. So I'll start with a overview of our financial results for the quarter on Slide 13. We continue to have good execution across the business, posting another sound quarter of EBITDA growth, margin expansion and earnings profitability. Our strong free cash flow generation enabled accelerated strategic investment in Wireline and Wireless growth platforms, while also supporting the recent $0.10 annualized increase in our common share dividend that became effective with the October 15th dividend payment. Service revenue growth at Bell was 2.1% this quarter. That was driven by leading Wireless and Media growth. Our overall top line growth was moderated by the economic and sector challenges faced in business markets, and that's reflected in the 4% year-over-year decline in Bell Wireline in the third quarter. We do believe that profitability in business markets is set to improve over the medium term, with actions that we're taking on product investment and productivity. Bell's consolidated EBITDA was up 5.2% this quarter. This performance was driven by Bell Wireless, which delivered another excellent financial quarter, posting 15.2% EBITDA growth, as well as by Bell Media, which almost doubled its EBITDA over last year. Bell's Wireline EBITDA declined 6.2%, and that was consistent with the previous quarter. The impacts of accelerating Fibe TV sales and intense price competition were held in check by operating cost savings this quarter of $40 million. We also recorded a $24 million gain in EBITDA this quarter relating to the phase out of post-retirement benefits at one of Bell's subsidiaries. At the same time, I'd say that offsetting this gain were one-time Olympic expenditures, including higher costs associated with the broadcast of the games themselves by Bell Media and a higher advertising spend at both Bell Residential and Wireless. Growth in consolidated EBITDA contributed to a 1.2 point year-over-year improvement in overall margin, which increased to 38.4% this quarter, reflecting the flow through of strong wireless ARPU growth, subscriber rate increases at Bell Media and fewer local access line losses. We also continued to invest in the expansion of our broadband Wireline Fibe and IPTV footprints, our Wireless LTE coverage in urban areas and new Bell-branded and The Source-branded retail stores in Western Canada, and all of that investment is being done while maintaining our capital intensity outlook for the year at slightly above 16%. In line with plan, BCE's adjusted EPS for the third quarter was $0.76 per share compared with $0.93 per share last year. Our EPS benefited from good growth in EBITDA this quarter, but on a year-over-year earnings basis, there was a decrease due to the favorable tax resolutions in the third quarter of 2011, which totaled $0.21 of EPS, and there were no material tax resolutions this quarter reported. Finally, on free cash flow, the contribution from EBITDA, less CapEx, grew almost 5% this quarter and is on track with plan for the year. Our total free cash flow of $684 million in the quarter was impacted year-over-year by the higher level of accounts receivable collections in the third quarter last year, following the settlement of the Canada Post Strike, which you may recall. But on a year-to-date basis, free cash flow is up a healthy 7%. So overall, very solid financial results, putting us in a great position as we approach the end of the year. Slide 14 details the results for Bell Wireless, with which we're really pleased with. Total Wireless revenues were up 7.1% on 8.5% higher postpaid revenues. Wireless ARPU grew 4.2%, and that's the 11th consecutive quarter of year-over-year improvement. Our postpaid subscriber base has grown significantly over the past year, including growth importantly in Western Canada and in business markets, as well as in expanded postpaid smartphone base. Smartphone customers now represent 60% of our postpaid subscribers, up from 43% a year ago. Collectively, these drivers contributed to data revenue growth of 30% in the quarter. Wireless product revenues were 10.8% higher this quarter. That's on increased migration of customers to more expensive smartphones and a very successful iPhone 5 launch at the end of the quarter. The supply of iPhone 5 was limited because of tremendous customer demand, which constrained subscriber adds in the last part of the quarter. Wireless EBITDA was again a highlight this quarter, growing 15.2% over last year, and delivering a significant 3.2% percentage point improvement in margin to 42.4%. Despite higher spending on retention upgrades, Wireless operating cost increased only modestly over last year, reflecting discipline on device subsidizations and savings from reduced customer call volumes on service level improvements. And as we go into the seasonally strong fourth quarter, I'd say our momentum in Wireless should continue, with growth opportunities from our industry-leading LTE network, which now covers about 61% of the Canadian population, and as well our great device lineup. So let's now turn to the Wireline segment on Slide 15. The pace of Wireline revenue decline was essentially stable compared to the second quarter of this year, as growth in Fibe TV and Fibe Internet drove residential data revenue growth of 3.5% this quarter, which moderated ongoing decline in voice revenues. The rate of decline in voice revenues this quarter was due to higher long-distance erosion, and that was from heightened price competition in the global wholesale long distance market. Bell's local and access revenue trajectory improved sequentially this quarter, reflecting a relatively stable rate of NAS erosion. While, overall, Wireline EBITDA in the quarter decreased by a little over 6% year-over-year just slightly higher than the previous quarter, we did maintain margins on plan at 39%. Turning to Bell Media on Slide 16. We had another good quarter, as George outlined, both financially and operationally, with audience ratings and viewership levels bolstered by our broadcast of the London Olympics. Advertising revenues were up 20% year-over-year, driven by the Olympics and radio advertising growth. Absent the Olympics, advertising demand in conventional and specialty TV did remain soft across most industry sectors. And as George commented, the financial impact to Bell Media from the NHL hockey lockout was really not material in any way this quarter. Subscriber fee revenues grew nicely, increasing 32% year-over-year, driven by higher market-based rates for programming charged to broadcast distributors on the sports contract renewals. With the flow through of significantly higher subscriber revenues and well-controlled operating costs, Bell Media's EBITDA grew 93% year-over-year, and that's after absorbing the EBITDA loss incurred on the Olympics in the quarter. So continued successful performance for Bell Media. On Slide 17, as I mentioned earlier, adjusted EPS was $0.76 per share, in line with plan for the quarter. The favorable settlement of uncertain tax positions contributed $0.21 of EPS in the third quarter of 2011. Normalized for this, adjusted EPS in this quarter was up 5.6% or $0.04 per share. Higher year-over-year EBITDA accounted for $0.07 of EPS contribution. Lower net pension financing cost and a lower statutory tax rate also contributed to EPS. You'll see a decrease -- or an increase in depreciation expense, and I'll say that, that is in line with the higher capital asset base that we have from our significant strategic investment in Fiber, IPTV and LTE. Year-to-date, our adjusted EPS is $2.53 per share, and that puts us on track to meet our full year 2012 EPS guidance objective of $3.15 to $3.20 per share. On Slide 18, our free cash flow generation totaled $684 million this quarter on strong EBITDA growth. In addition to the year-over-year Canada Post Strike impact, our working capital position grew this quarter as a result of some buildup in accounts receivable at Bell Media attributed to the increased customer advertising from the Olympics. That's really a timing item and should normalize over the fourth quarter. Capital spending was $36 million higher year-over-year in the quarter. Net interest increased on a higher average level of outstanding long-term debt. And in line with guidance, cash taxes increased, reflecting higher taxable income year-over-year. Our year-to-date cash flow, which is 7% higher than the same period last year, puts us on track with our guidance target of $2.35 billion to $2.5 billion for the full year 2012. So to wrap up, I'd say we've built good momentum with 3 successive quarters now of growth and consolidated financial performance this year. We see no fundamental changes in outlook for the balance of the year. We remain well-positioned across our Wireless, Residential, Wireline and Media segments as we enter the fourth quarter. In our business markets unit, although pressures are expected to continue, we anticipate the beginning of a stabilizing trajectory with the initiatives that we're putting in place to improve profitability going into 2013, including the preferred connectivity supplier relationship that we've entered into with Q9, which we're very excited about. We expect consolidated EBITDA growth for 2012 to track to the higher end of our financial guidance, and consistent with that outlook, we expect Bell's EBITDA margin for 2012 to be stable year-over-year. So given this outlook for sustained growth in the overall business and our strong balance sheet foundation, I think we're well positioned to continue delivering on our shareholder value creation objectives. So with those comments, I'll turn the call back over to Thane and the operator to go into the Q&A session.
Thane Fotopoulos: Thanks, Siim. [Operator Instructions] So with that, Dave, we're ready to start.
Operator: [Operator Instructions] The first question is from Greg MacDonald with Macquarie Capital.
Gregory W. MacDonald - Macquarie Research: Wanted to ask a question on sustainability of data ARPU growth, and I'd kind of preface it this way, smartphone subscriber penetration of postpaid's now at 60%. So when I think of sustainability there, I think of the quality of the marginal smartphone customer coming on, and you guys, obviously, see the kinds of devices these marginal customers are buying, the data plans they're choosing, the usage patterns that they have. So let me ask the question this way, number one, am I looking at the right metric here because data ARPU growth is a function of both increased usage potential of existing customers, as well as what the profile of the marginal customer coming on is. And then number two, is there anything at all you can tell us about what you think the data ARPU profile looks like for the next couple of years? I know you're at $20 now. I don't -- I know you don't want to give guidance, but can you say whether $25 within a couple of years is achievable?
George Alexander Cope: Yes, okay, I'll try to answer the best we can. I mean, I think there's -- our underpinning of our ARPU growth, as Siim has said, is about 11 consecutive quarters is driven by, in our case, many different things. One, of course, investors will know historically the gap between us and our competitors was significant, and the strategy the last number of years was to improve our mix of customers that we're getting in all segments, and improve our geographic mix of customers we're getting, and of course, benefiting from this migration from what we call the traditional wireless phone to the smartphone. There's no doubt, as people migrate to the data products, we continue to see an increase in the customers' average bill, but that, of course, is also because they're benefiting from many new services on the data side. That's one. Secondly, there's also no doubt, though, that the next customer you put on a data product for the first time doesn't generate as much ARPU as the first 10% of customers who migrated to the data products simply because you're penetrating further into the overall population base, but our outlook is a continual, with all the mix changes we've made in the business, to continue to see growth in our average revenue. It's hard because it gets in the competitive information beyond that, other than that to say, there's no doubt, as people migrate to these incredible new products from 2 suppliers in the industry at the moment, combined with LTE, which is a data experience that is, quite frankly, almost in one sense hard to imagine we now having Wireless from just 3 years ago. When we all thought HSPA was so amazing. That's going to drive, we think, the opportunity for more growth. In the other areas, we continue to see growth in things like Mobile TV, where we mentioned last quarter on the call, we're -- generally, we have over 500,000 customers. We're selling it as an add-on for $5 a month for 10 hours of viewing, and we fundamentally believe that Bell Mobility at over time, literally, everyone on data devices will subscribe to that type of service, as it's priced appropriately and we think at $5 for 10 hours, that's an accretive ARPU for investors and a real benefit on the consumer side. So I don't know if I answered it specifically to the level you wanted. But hopefully, it's given you an overview of our thinking.
Gregory W. MacDonald - Macquarie Research: Just as a quick follow-on, can you suggest or is that -- as far as the mix is concerned and the geographic mix you focus on, that Bell is growing faster than the market, is that sustainable for the near term? Is that sustainable for 1 or 2 years...
George Alexander Cope: I don't want to give that type of forecast for, I think, obvious reasons. I think as we've said, the gap between us and the competitor is now close, and in some cases, now surpassed, and now it's about maintaining in this intensely competitive market, the position we've got. Our strategic investments are based on improving our geographic positioning, where we had been the leader in certain markets that have the lowest average ARPU, and there's other markets where we weren't the leader that have a higher ARPU in those markets, and we're pursuing those investment strategy to try to manage that mix.
Operator: The next question is from Phillip Huang with UBS.
Phillip Huang - UBS Investment Bank, Research Division: It's great to see postpaid churn improved sequentially despite the seasonality or seasonally more competitive quarter. Can you talk a little bit about some of the drivers behind the improvement, and whether you think you can hold churn at the current level going forward?
George Alexander Cope: Yes, no, we're -- and the investors are going to let such an important lever in terms of our results. We're really pleased. The work that John Watson's team has done, the leader of our operation center, is really driving just a dramatically improved customer experience. All the work we're doing on online access for our customer base, we've actually seen even with the base growth, the call volumes into our Wireless business has actually dropped year-over-year. Customer satisfaction, any survey we do in the customer satisfaction side says it's up significantly relative to where we were a few years ago. We now outrank all wireless carriers in Western Canada in service, on any service metric in the West. And on a national basis, those improvements, we think those are all flowing to an improvement for us in our churn levels. We're also doing much better in the business market, and that's taken a few years because, of course, we now have handsets that roam globally. And so as we are more successful in the business and enterprise market, that market itself has a lower churn rate. No doubt, they have a little higher pressure on pricing, but the churn rates are so much more positive. So mix there is also helping, and I think our whole service experience just so significantly improved over the last 24 months bodes well for the future.
Phillip Huang - UBS Investment Bank, Research Division: I was wondering if I can follow-on, if you could give us a little bit more color on your progress with growing wireless market share in Western Canada and to what extent it's been a driver of your results this quarter?
George Alexander Cope: Well, we saw growth right across the country in many of our segments. Rather than disclose a specific area, what I would say is, strategically, we talked about opening the stores in Western Canada. That has taken place. We also talked -- I think, people may have seen a launch of our service in the Winnipeg market for the first time. We've never been in the Winnipeg market to any extent, and that also, we think, will bode well, going forward, for us. Because if you do the math, there's been a certain population that we haven't even had in our coverage in the past in terms of selling, not so much in terms of our customer going there. So I think all of those pieces are what's moving that forward, and then, I think, also, we had a very strong execution. We think at the end of the quarter on iPhone, I would say, and Siim's right, if we had more, we would have sold more. We would have had even a better subscribe result, which it's now all about getting handsets supplies to meet the demand for these incredible products.
Operator: The next question is from Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley, Research Division: You had very strong results on the Fibe IPTV, but you're continuing to see a drag from the satellite side. Can you just talk about the puts and takes there? Is this a run rate, going forward, or do you think there's an ability to slow some of the churn you're seeing on the satellite side?
George Alexander Cope: Yes, it's a great question, and no doubt, we'd love to have the number be the net of Fibe TV. Just to give the Street, continue -- the investors continue understanding, we've said about 15% to 20% of our Fibe TV customers are coming from satellite. That was consistent again this quarter. So people can -- the analysts can reverse-engineer a midpoint of that to get a sense of how much was just migration from one to the other. Secondly, we are doing things and in managing our satellite TV business and our Fibe TV business that we think will help that over time. In particular, there's no doubt early on to the pent-up demand from those customers who are and always have been Bell customers, and Fibe TV, being obviously quite a customer experience. We've seen some of that in those types of migrations of 15% to 20%. So that -- we will be doing things. The other point, of course, for us, is where we don't have Fibe TV, is to up our competitive game there with satellite TV, and that will be part of our approach into 2013 as we go forward. But I think we said this 15% to 20%, and I think that's what analysts should reverse-engineer our number to get to.
Operator: The next question is from Maher Yaghi with Desjardins Capital.
Maher Yaghi - Desjardins Securities Inc., Research Division: George, I wanted to ask you more of a general question relating to your dividend policy. Assuming that the Astral deal does not go through and I know you mentioned you didn't want to discuss the Astral deal. But assuming it doesn't go through, 2013, it's going to have difficult comps year-on-year with your incredible Wireless numbers as opposed to in 2012. Now when you look at your dividend policy, the 5% dividend growth model, how confident are you in continuing to work along those lines in 2013, 2014? What's driving the EBITDA growth in future years that will allow you to continue to grow that dividend, that 5%?
George Alexander Cope: Yes, okay. Thank you for the question. Well, we just stepped back for a minute. The company's strategy, market capital strategy hasn't changed as a result of -- no matter what the outcome of the Astral transaction ends up being, and that is -- we know that this profile, this asset, lends itself to a dividend growth model, and our capital intensity model, people know roughly where we want CapEx to be. We see forward in all of our business plans the ability to continue to grow free cash flow and maintain the strategy that we're on. Of course, that's with all the caveats that Thane talked about at the beginning when you're trying to go forward on that length of period. But, really, it is -- it's on the 3 portfolios. On Wireless, it's continuing to execute, and continue the position we're establishing with the investments we're making. On the Wireline side, it's really Fibe TV footprint expansion, and I think that may become one of the real important tipping points for us in terms of our Wireline consumer revenue to help deal with, obviously, the decline on the NAS, and on the media assets, the cash flow. So as we look forward, and then I should say the fourth thing, which is, I think, we -- hopefully, the investment community is seeing that our expense management has -- certainly, if it's not best-in-class, it's certainly in a quartile at the top relative to other telcos on a global basis, and that's a culture in our organization. We still have $10 billion to $12 billion of total expenses, and driving the productivity off of that is an important component, and that will continue to be an important component in the next few years. So there's no varying from the strategy from a dividend growth model for the company.
Maher Yaghi - Desjardins Securities Inc., Research Division: Okay, great. And for the excess cash now because you did some debt financing ahead of the Astral closing. You have some extra cash on the balance sheet. You have the company generating a lot of free cash flow. Could we see potentially a buyback coming back in the picture in 2013? How about the pension payments late this year, could you maybe talk about your priorities on the use of cash if the Astral deal is delayed or not consumed?
George Alexander Cope: Yes, to some extent, I mean, we'll do that, obviously, in the first quarter of '13. But the strategy, use of capital continues to be the same consistently dividend, dividend growth model for the investment community. Then after -- as you go through that, it goes to, do we fund pension, given the interest rate issues, do we do any tuck-in acquisitions, and lastly, would be buybacks, and those continue to be how we're prioritizing the capital. But clearly, it's premature to talk about that, given what we've talked about earlier on in terms of what we've gone and asked cabinet to look at. So what I would say is no change in our strategy. How we're going to execute that strategy, unfortunately, we can't talk about today, but we certainly will at our call in early February.
Operator: The next question is from Drew McReynolds with RBC Capital Markets.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: So just first question, George, just a follow-up on the satellite cannibalization rate of 15% to 20%, is there anything that is different in your kind of future geography when you continue to expand the footprint that could impact that rate in terms of puts and takes?
George Alexander Cope: Well, I mean, it kind of goes both ways. There's certainly -- one argument would go, the larger the footprint is, the more it cannibalizes the satellite footprint. So that would be one side of the equation. The other side of the equation, we think the pent-up demand for products that are Bell products that first become Bell loyal customers first, and we saw that very early on when we first launched satellite. And then it's also how we are managing the satellite customer experience in the non-Fibe footprint and how competitive, what our competitive intensity there can be, separating it from where we have Fibe. And the key for us too on this cannibalization, of course, is the other side of that is what we're seeing with Fibe TV is the pull-through of the Internet, and so the ARPU off of that becomes much stronger than the satellite alone. So we continue to be comfortable with the 15% to 20% number, and we're just going to have to go forward and see how that evolves. We're certainly, as a result of this, in no way going to slowdown the investment in the Fibe TV side.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Okay. That's great. And 2 follow-up questions for you, Siim. Just on the Bell Media, is there any way you can kind of help us out with the retroactive carriage payments in the quarter and just remind us what we should expect in terms of further retroactive payments, is that all we see? And then also within Bell Media, just wondering, you've obviously outperformed the last couple of quarters. This quarter had a couple of events obviously. But in terms of your underlying OpEx declines, can you just help us understand where those are coming from?
Siim A. Vanaselja: Sure, Drew. First, with regard to the retro component of the fee rate increases. In the third quarter, that amounted to between $10 million and $12 million. In the fourth quarter, we see it being at about the same level. And then as we enter into 2013, that retro piece really gets absorbed by the new rates that come into effect under individual agreements with BDUs for that year. And then, your second question, just on general trends and in Bell Media going forward and its cost structure, what Bell Media's been able to do very well this year is to manage its programming cost base with U.S. programmers, and that's driven efficiencies. That relates to their annual spend with Hollywood studios each year, and they've shown good discipline in the programming that they're picking up to improve the overall profitability of the business. As we go into 2013, I think I defer discussion until we're in a position to provide overall consolidated financial guidance for the whole company.
George Alexander Cope: And the only thing I would add to that is if you look at Kevin's leadership and the acquisition of that asset 1.5 years ago, what we have tried to do for Bell Media, as we do for the other divisions in the company is when it comes to corporate services, Siim's type of leadership on the finance side, our IT shops, people management, all of those, we've consolidated those, and as a result, under Kevin's leadership, some of the core costs, consistent with the rest of the culture of Bell, are starting to transcend their cost management. I think we saw that in the quarter and the benefits of the corporate synergies you get by bringing the organization together, yet keeping the corporate cost the same.
Operator: The next question is from Jeff Fan with Scotia Capital.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: Just to follow-up on the media side, some of your North American peers have very good Olympics revenue numbers as well, and also broke even or even made money on the Olympics. I'm wondering if you can just help us out in carving out what the impact was in the quarter. And then just a second question to follow-up on the churn on Wireless, if you can just talk a little bit about the smartphone churn numbers and how that's trending. I would imagine it's still very good. And as we look ahead with greater smartphone penetration, I'm wondering if the overall churn will start to migrate towards that low smartphone churn, essentially seeing an overall lower churn for the industry and also for you guys as smartphone penetration goes up. I wondering if you can talk a little bit about that?
George Alexander Cope: Okay, sure. On Bell Media, we talked about the revenue growth in Olympics. Siim talked about expenses that we incurred as well, not just in Bell Media for the Olympics, but in Bell, because of the advertising, the onetime advertising expenditures, which in total there, total expenditures would be $25 million over our normal run rate, and you mentioned that was really offset by the $24 million in the onetime pension win so they kind of neutralized each other fortunately for us in the quarter and for investors. In terms of the total EBITDA, Bell Media has about $9 million to $10 million loss on the Olympics for us even with that revenue growth, so I can't comment on other global broadcasters. We're obviously pleased with the revenue, pleased with what it did from a brand perspective. But in that quarter that we just reported, it's about a $9 million to $10 million loss on the Olympics in terms of media. Now in terms of Wireless, churn, the only other additional comments on churn I can really make is the Bell-branded churn has really significantly improved over the last 1.5 years, and now it's about trying to do some real work on the flanker brand churn, where I think it's fair to say it's obviously a little more focused in the price market, so churn rates there can be a little higher, and we're doing a lot of focus there as well. If we can get that churn number down, almost as importantly as the Bell churn number, then we'll see some continued improvement in our churn.
Operator: The next question is from Glen Campbell with Merrill Lynch.
Glen Campbell - BofA Merrill Lynch, Research Division: I wanted to follow-up on the flanker brand point and the positioning of the brand. So George, you're suggesting the churn rate on Virgin might be a little bit higher. When you look at third-party customers, sat ratings, though, Virgin ranked extremely well. When you look at the handset line, I think everybody's good as on Bell. And when you look at the pricing for the kind of power user, it looks to be as attractive or more attractive than main brand. So could talk a little bit about how you want -- how you are positioning Virgin and how you see that evolving going forward?
George Alexander Cope: Sure, and just so we're clear, the churn on Virgin was not up quarter-over-quarter. What I said is the churn on Virgin, generally, is higher than the Bell churn rate. Both actually have come down, but we can -- we know we can get Virgin even down a little further, the overall flow-through of churn would improve for everybody. So we're clear on that. On the positioning of the Virgin brand, it's very much positioned as a youth brand, not a discount brand in the marketplace. It's a great global brand. It's worked very well for us and really, that's where the positioning is. When we do see some real aggressive pricing on the flanker brand side, there's no doubt there's more of a response used on the Virgin brand than there is on the Bell brands. Remember, the Virgin brand though is focused very much on the consumer market, not much for us in the business market, and also our distribution of Virgin is not as broad as the distribution of the Bell brand. By example, if you look at our hundreds and hundreds of Bell stores that we own and operate, the Virgin brand is not distributed through those channels. So part of our strategy or on managing flanker brand mix is also managing the significance of the distribution mix that we had overall, and hopefully that gives you a little sense what we're trying to do there.
Glen Campbell - BofA Merrill Lynch, Research Division: No, that's terrific. A quick follow-up on Mobile TV, you mentioned that you see a broader adoption -- your new smartphone plans sort of bundled in. So I was wondering if you could give us a sense of like what sort of usage you're getting with the new Mobile TV offerings?
George Alexander Cope: Yes, the bundling-in is really adding the $5 into that rate plan to make sure that we're always getting that standalone revenue stream even though it's in the package at that level, and within that is still the 10 hours. I don't actually -- Glen, I don't actually have user stats. I'm happy on the next call to share them. There's no doubt, it's very event-driven. When we would have seen some of the unfortunate weather in the last week, we would see, obviously, a jump-up in usage there. Anything that's time-sensitive, also some of the Olympics we saw an incredible jump in usage, and actually subscription of the service. I just fundamentally believe the way we have it priced and the service on LTE over time, having that type of video access is just going to be another service stream, and also important for our content business because it gives us access to another view, which over time, if it's more eyeballs, it means more advertising revenue.
Operator: The next question is from Dvai Ghose with Canada Genuity.
Dvaipayan Ghose - Canaccord Genuity, Research Division: I just wanted to revisit the dividend growth question. You went through a lot of your drivers of dividend growth organically and your priorities in terms of use of cash, but the Street, nonetheless, is the view that if you can't buy Astral, you have to buy something else in order to increase your dividend. As you know, MTS shares, Bell Aliant shares both rallied a little bit, at least, on the Astral announcement, surprising as it was. So to what extent do you rely on M&A versus organic growth? And how appropriate is this view that you have to seek new M&A targets now that the Astral deal looks like it may not go through?
George Alexander Cope: Well, what I would say is I don't agree with that sentiment either, Dvai. So I'm glad you asked the question, thank you. Bell strategy is to execute its dividend growth strategy with or without the M&A work that we've had to pursue, and we pursued it for strategic reasons. And no doubt, one of the benefits is there's no doubt, Bell Media has been very accretive from a cash flow perspective for our shareholders. And of course, the other piece of that, as people have seen, is take that cash and reinvest it also, not just in dividend growth, but in CapEx as well, and so that was really has been part of that acquisition strategy. But to -- for the community to assume that we have to make an acquisition of an asset of a known -- 2 that you named in order to grow the dividend, growth model of Bell, we don't concur with that. There's no doubt the acquisition we were looking at was going to help generate even more cash flow than we had anticipated on an organic basis. Hopefully, that's helpful for investors.
Dvaipayan Ghose - Canaccord Genuity, Research Division: Could I ask you a really quick follow-up? I agree with you. In terms of the postpaid subscriber additions, which were superb in the quarter and certainly much better than Rogers, to what extent do you think that was driven by software issues at both Rogers and TELUS faced on September 21st, when unfortunately, the iPhone was launched or as you seemed to have had no systems issues.
George Alexander Cope: Yes, I saw that this morning from some folks who are wondering about that. I mean, I don't want to comment on the other 2. You'll have to ask them that. What we saw was we understood that, that was a very short-term issue from what we saw from our competitors a day or so. So there might have been a day there, Dvai, where we got more than our proportionate share, but I don't think that would have swung our quarterly results. And as Siim said, "Man, if we just had more phones, we actually would have sold more." So it was a fairly, I guess, I would say a fairly robust entire quarter for us, not just in the last 6 or 7 days. There's no doubt the last 6 or 7 days, I'm sure -- I don't know. I can't say for certain. I would assume that our competitors also saw, obviously, a jump in volume because we couldn't get -- we always had this new product. So I wouldn't overweight that day or 2 days on the quarter from our perspective. And maybe if you ask the other ones, maybe they have a different view, and we'll just have to see. I think it's also fair to say that when you do spend the amount of money advertising it, the Olympics that we do, we do expect to get a return for our shareholders on that, and I think there'd have to be something that's said to the fact that, that advertising clearly led to some of our results in the quarter.
Operator: The next question is from Rob Goff with Byron Capital Markets.
Robert Goff - Byron Capital Markets Ltd., Research Division: My question will be back on the wireless. Could you address the trending that you are seeing in Wireless substitution. And within your Wireless results, can you address the relative performance of consumer versus business in the marketplace?
George Alexander Cope: Sure, we're seeing Wireless substitution, they're actually handing me a number right now. So Wireless substitution is about 16% so that would be Wireline to Wireless so about 16%. We're seeing it right across the board. I think you see that also in our NAS results versus our cable competitors. As I say on every call, if you take our decline in NAS and their numbers, there's a gap and I think the gap must be Wireless substitution, were at 16%. The U.S., of course, running at higher numbers than that, and I'm sorry, what was the second question?
Robert Goff - Byron Capital Markets Ltd., Research Division: And then the other was just -- within the Wireless, are you seeing the same sort of trending on the consumer as opposed to the business? Or are you finding that the business is a more robust market place for you?
George Alexander Cope: It's a good question. It's geographic and it's segment-driven, is what we're seeing. There's no doubt on the year -- year-over-year basis, business is up, and that's really continued now for 3 years since we migrated to global handsets, HSPA into LTE. So that continues to perform better. And then on a consumer perspective, there's no doubt our investment on a national footprint expansion and from a distribution perspective is helping us out on the consumer side. And I would say also in Québec, we had a really positive quarter in Québec in terms of both Wireless and Fibe TV, and frankly, we continue to know we've got to up our game, we think, a little bit more in Ontario relative to the really strong results we're seeing in Québec.
Operator: The last question is from Tim Casey with BMO Capital Markets.
Tim Casey - BMO Capital Markets Canada: Could you talk a little bit about your enterprise portfolio? You mentioned you're investing in products and you hope to see gains there. But obviously, the economy remains soft. You mentioned cable competition, long-distance is eroding. Can you flush out a little bit how you hope to stabilize results there?
George Alexander Cope: Yes, and this -- the one part that unfortunately continues to be consistent is that area. It's a great franchise, great cash flow generator for our investors, but I -- we fundamentally believe until we see 3% GDP growth in the country and job growth, that's a tricky portfolio to see growth because the offset of reprice has to be offset with growth in employment in jobs, and we're just -- again, that mix isn't as strong as we need it to be. We are making investments such as the investment in Q9, where Q9's a leader in the data hosting area, and also we think that'll lend itself to some improved connectivity performance. It gives us a packaging in front of our enterprise clients. We are making more investment in fiber to a number of facilities for our corporate customers to, again, bring them new service and products. That's part of it. We're focused very much on how we add other products into our bundle at the SMB and mid-market. I don't want to reveal what those are right now because those are more competitive issues and wouldn't be helpful for us or for our shareholders. So a lot of focus there. And then the other area under Tom Little's leadership, clearly, is a lot of focus there on the continued productivity area of that asset, and I would say that will continue in that area in his plans for 2013.
Thane Fotopoulos: Great. So thank you for your participation this morning on the call. As usual, I'm available throughout the day for any follow-ups and clarifications on that. Thank you and have a great day.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. Thank you for your participation.